Operator: Welcome to Onex fourth quarter and full year 2014 conference call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I'll now turn the conference over to Ms. Emilie Bolan, Manager of the Funds Group. Please go ahead.
Emilie Blouin: Good morning, everyone, and thank you for joining us. We're broadcasting this call live on our website. On the call with me are Seth Mersky, Don Lewtas and a number of our Managing Directors. Our press release and annual report include the How We Are Invested schedule. This is a good financial summary of our investments and includes Onex's capital on a per share basis. The 2014 MD&A and consolidated financial statements are now available on our website and have also been filed on SEDAR. We’ve also provided the 2014 schedule of fees and expenses, which you may have noticed has been revised to provide you with greater visibility into the revenue and expenses in our asset management platforms and the parent company. Don will discuss this disclosure later in the call. I want to remind everyone of the usual forward-looking statements disclaimer and I’d also point out that all information relating to the fair value of our private companies is a view of Onex's management. In addition, we will refer later in the call to collateralized loan obligations or CLO offerings by Onex Credit. We are required to remind you that these offerings are made solely to qualified institutional investors and to certain non-U.S. investors in private transactions not requiring registration under U.S. Securities Laws. The securities are not and will not be registered under U.S. Securities Laws and cannot be offered or sold in the U.S. without registration or exemptions. Lastly, we wanted to let you know that our annual Investor Day will take place in Toronto on June 4. Please contact me for details. I'll now turn the call over to Seth.
Seth Mersky: Thanks Emilie and good morning to everyone. I’d like to spend some time today discussing what we’ve been up to in our private equity and credit platform for the last 12 months and since yearend. 2014 was a terrific year for Onex. With the benefit of strong public equity and credit markets for much of the year, we were able to realize significant value from some of the businesses we’ve built over several years. We distributed a record $6.1 billion of capital to investors, of which Onex’s share was about $1.9 billion. The ideal selling conditions we enjoyed for much of 2014 obviously made it more challenging to find appropriately priced investment opportunities. Fortunately, we had a strong investment pipeline going into the back half of the year, and as the markets cooled somewhat beginning in the third quarter, we were able to capture some unique opportunities. In total, we announced or closed four acquisitions in Q4 and a fifth early in the New Year, which together will require an equity investment of approximately $2.4 billion. The businesses being purchased fall into a range of familiar industries, including automotive aftermarket, packaging and financial services. As well, they have plenty of potential for add-on acquisitions and future growth. It’s also worth noting of the five announced acquisitions, two originated from the efforts of our London office. As we’d hoped when we opened our London office, we’re seeing businesses not unlike the ones we’d like to buy on this side of the Atlantic. SIG in particular, while headquartered in Switzerland, does business all over the world and really could be headquartered anywhere. The team in London has grown to eight professionals and they’ve done a great job establishing our presence and building the Onex brand in Europe. Our existing businesses also had a busy 2014, investing about $1.5 billion in capital expenditures and add-on acquisitions. For example, USI, our insurance broker in the United States, completed 13 accretive tuck-ins, adding more than $170 million of revenue. As well, Emerald Expositions, our US based business-to-business trade show operator, purchased GLM, the operator of New York Now, the largest gift and general merchandiser show of its kind. Emerald will benefit from the additional scale and continues to solidify its position as North America’s top trade show operator. Now moving on to the overall private equity portfolio. Mostly reflecting improved performance, the impact of accretive acquisitions and debt reduction, the value of Onex’s interest in our private equity fund grew by 14% during 2014. Last year, we also had a record fundraising year across our private equity and credit platforms, raising $5.7 billion of outside capital. Most notably, we completed the fundraising for our flagship PE fund Onex Partners IV faster than we expected, reaching aggregate commitments of $5.2 billion, including $1.2 billion from Onex. This exceeded our original target of $4.5 billion. Onex Credit raised nearly $2 billion through three CLOs, including CLO-6, which was more than $1 billion. Not only was this our largest offering, it was also structured to comply with European risk retention requirements, believed to be the first of its kind. We now manage $5 billion in our credit platform, a 50% increase since 2013 and our goal is to grow AUM to $10 billion by the end of 2017. To reach our target, we will continue with CLO offerings. We recently established a warehouse for our eighth CLO and we’ll focus on laying the foundation for growth in our hedge fund strategies in 2015. I mentioned near the beginning of my remarks that market conditions cooled somewhat towards the back half of this last year. I was referring specifically to the credit markets. In the United States, federal regulators have become increasingly aggressive in their reviews of bank lending and operating practices within the leveraged markets. They’re particularly focused on leverage levels, believing levels should not exceed six times EIBTDA, minimum debt amortization of 50% during the first seven years of the capital structure, and a more critical review of the typical adjustments made through EBITDA when businesses are being sold or refinanced. As is the case, whenever specific regulations or guidelines are enacted, some perfectly fine businesses will become difficult to sell at recent market prices. An example might be a business that uses relatively more cash flow for expansion rather than debt reduction. We might happily buy such a business with greater equity than would normally be the case, particularly if in doing so we are able to own the business at a reasonable price point. SIG is a great example of the phenomena. We will invest a significant amount of the company’s cash flow going forward in expansion of its manufacturing footprint. That’s what you want us to do. But some bank underwriters struggle to finance the acquisition because less debt was amortized over seven years than would otherwise be the case. As a consequence, they feared backlash from their regulatory examiners. Interestingly though, when the financing actually went to market two weeks ago, it was very well received and the results exceeded our expectations. So the market agreed with us, investing in SIG’s growth is the right strategy. We also continued to invest in and build our team. Across the firm, we promoted three new managing directors and hired 11 investment professionals. We develop most of our own talent at Onex and believe this is one of the secrets of our long-term success. By the time someone is promoted to managing director, they’ve likely been with us for about 10 years. They’ve seen more than one investment cycle and developed into an entrepreneur who shares Onex’s values and ethics and also understands the risk and opportunities that together comprise the business we want to own. Over time, each of our managing directors will have the majority of their financial net worth invested with Onex. This financial alignment is critical to our overall success. Through the team’s $2.1 billion investment in Onex stock, its underlying private equity operating businesses and credit funds, we all share the risk and rewards of everything we buy. Now I move from new talent to decidedly older talent. This is a bittersweet call as it is Don Lewtas’s last as CFO. Don joined Onex as employee number six in 1987, the year we went public and has been CFO since 2008. From 1987 through today, 112 quarters if you’re counting, Don has had only one standard for the information he has accumulated from our operating companies and communicated to investors, perfection. On behalf of everyone at Onex, I’d like to thank Don for ensuring that Onex was built on a foundation of clear and honest reporting to each other and to you. Fortunately for us, Don will remain with Onex as he spearheads efforts to take advantage of our scale through group purchasing and shared services. It’s an important initiative Don has been championing for some time and can potentially save our company tens of millions of dollars per year. Chris Govan, a 17 year veteran of Onex will succeed Don as CFO. Don, your swansong, over to you.
Don Lewtas: Thank you, Seth, and good morning everyone. As Emilie mentioned, the MD&A and IFRS financials are on our website and SEDAR. The MD&A provides a complete commentary on the consolidated financial results. My comments will primarily focus on the How We Are Invested schedule and the schedule fees and expenses which are attached to the press release. The former shows how we are doing as an investor of Onex‘s capital and the latter illustrates how we are doing as a manager of others capital. All references to dollar amounts will be in U.S. dollars unless otherwise stated. So starting with How We Are Invested schedule, you’ll see that the net value of Onex’s investments grew by approximately $400 million during 2014, driven by a 14% increase in the value of Onex’s operating businesses. This increase was offset by approximately $180 million principally for the repurchase of Onex’s shares. This net growth of about $225 million translated into a 6% increase in Onex’s capital per share year over year, falling short of our long-term goal of 15% growth. The overall growth rate was weighed down by the negligible returns on the significant cash balance we carried through much of 2014. While a current drag on our returns, a cash balance also enables opportunities. Our 15% target is a long-term goal and as I’ve said before, we expect there to be years when we exceed the target and years where we fall short. Over the six years that we’ve published the How We Are Invested schedule, Onex’s capital per share has grown by a 14% CAGR, just shy of the target. The change in the fourth quarter in the How We Are Invested schedule is primarily the increase in Onex’s Partners private companies, with Onex investing a total of $248 million in York, AIT and Mavis Tire and cash being reduced by a similar amount. We exited 2014 with Onex’s capital per share at $54.11 or $62.77 Canadian at the year-end exchange rate. Given the movement in the exchange rate in the last two months, Onex’s yearend capital per share will now translate into $67.59 Canadian. While the How We Are Invested schedule and the change in Onex’s capital per share give a good picture of Onex’s investing activities, they don’t reflect the enterprise value of our asset management business which today manages approximately $15 billion of investor capital in addition to Onex’s. The schedule does include unrealized carried interest of $115 million based on yearend valuations, but it doesn’t include any value for ongoing stream of management fees nor potential carried interest from future value creation. Let’s look at our second long-term goal of growing our fee generating capital by 10% per year. In 2014, these assets increased by 13% primarily as a result of the successful fundraising of Onex Partners IV, Onex Credit success with three CLO issuances and the net fair value increases in our Onex partners and ONCAP investments, partially offset by $4.2 billion of distributions to our investors. Due to the episodic nature of private equity fundraising, which typically occurs every few years, we expect growth here to be relatively inconsistent year to year. If we look at the past six years, our fee generating assets have grown at a 13% CAGR. Our schedule fees and expenses is intended to help you understand the value of our fee generating capital. As Emilie noted, we revamped the format of this schedule from last year. The changes stem from the increasing relevance of our credit business and a desire to provide all of you with greater visibility into the revenue and expenses of each of our asset management platforms and the parent company. To start, I’ll make a couple of comments on the methodology underpinning the preparation of the schedule. First, in allocating compensation expense between private equity, credit and the parent company, we’ve taken a straightforward approach. Simply, the compensation of everyone listed on the Onex Partners and ONCAP team pages on our website is included in the private equity. And similarly, everyone listed on the Onex Credit team page is included in credit. So private equity includes all the compensation of our private equity investment teams, including Jerry and the rest of the executive committee, whereas Onex Credit includes our entire credit team, including Michael Gelblat and all the various professionals dedicated to the credit business. All other Onex employees, including the Funds Group, finance, legal, tax, IT and administration, as well as those involved with Onex real estate partners, are included in the compensation expense allocated to the parent company. Second, carried interest from our private equity funds continues to be reported in the schedule on a cash received basis. However, for Onex Credit, we have moved to the accrual method. Incentive fees on Onex Credit are generally computed by reference to calendar year returns and are received very early in the following calendar year. Consequently, we felt that reporting these amounts in the year they’re earned, rather than the year they’re received would better reflect Onex Credit’s performance. One final thing before I get into the discussion of the details. We plan to provide the schedule fees and expenses on a quarterly basis beginning in Q1. We will be providing LTM information each quarter along with prior two calendar years results for comparative purposes. We hope that providing this information more regularly will allow investors to better understand the performance of our growing asset management business. I’ll now review the 2014 schedule fees and expenses in comparison to prior years and provide some insights into what you can expect in 2015. First, focusing on our private equity activities. Onex partners and ONCAP earned $71 million in management fees in 2014, down from $90 million in 2013. As discussed during several of our earnings calls over the last year, this temporary decrease resulted from the extension of our commitment period for Onex partners III, such as fees on that fund step down to 1% of invested capital for all of 2014 and no fees are drawn on committed capital for Onex Partners IV until August. With that behind us, we begin 2015 with a run rate annual private equity management fees of $105 million. As noted throughout the year, Onex received $171 million of carried interest in 2014, reflecting a record year of realizations and in most cases, many years of value creation. This amount is substantially higher than our 10 year average of $48 million. While it’s impossible to predict the level of realizations in 2015, we fully expect carried interest receipts to be down significantly from 2014. Variable compensation in private equity was up meaningfully over the prior year at $124 million. There were a number of factors considered in determining variable compensation in 2014. These include realizing on investments in existing operating companies, growing and improving the performance and results of Onex’s operating businesses, raising new capital and completing new acquisitions and investments. Of all of these factors, the greatest emphasis is placed on the demonstratable creation of value through successful realization of investments. Overall, our private equity asset management platforms delivered a record contribution of $83 million in 2014. In looking at the platform’s contribution over the last three years, it’s clear that the realization of carried interest drives the net contribution. However, I think it’s worth noting that even in 2012 where only $3 million of carry was received, private equity asset management still provided a $19 million net contribution. This despite the fact that no fees are earned on the $3.7 billion of Onex’s capital managed by our Onex Partners and ONCAP teams. Moving on to the middle of the schedule in our Onex and our credit platform. Onex Credit earned $29 million of management fees in 2014, up 27% from 2013. And we began this year with a run rate of management fees of $31 million. This growth was driven by the successful build out our CLO business. Although management fees grew nicely, weakness in the credit markets in the back half of the year meant that Onex Credit earned almost no incentive fees in 2014, $1 million in the year, down from $10 million in the prior year. The next line item on the schedule reflects Onex’s income or loss from our investments and Onex Credit CLOs. As a reminder, Onex has invested and expects to continue to invest meaningfully in the equity component of each CLO, typically taking at least a 50% interest in the equity or about 5% of the total capital raised in each offering. Given various risks retention rules, these investments are a necessary part of growing Onex Credit’s CLO platform, and we believe a unique opportunity to earn attractive returns by leveraging a locked in capital structure that we control. At year end, Onex had a net $237 million investment in Onex Credit CLOs. During the year, we received distributions and income of about $30 million, which were more than offset at year end by the downward mark-to-mark adjustments of $51 million, resulting in a net reported loss of $21 million. CLOs are highly leveraged structures with about 10 times debt to equity and therefore small swings in the marks of the underlying loan portfolio will result in more meaningful swings in the value of the CLO equity. Onex Credit CLOs are cash flow driven and have no mark-to-market solvency tests. As long-term holders of the equity, we are focused on the underlying loan portfolio, ultimate cash flow and not its market value at any point in time. So, the weaknesses we saw in the back half of 2014 doesn’t trouble us. The average loan is less than 1% of the CLOs portfolio and the average mark or year end mark of all the loans held by our CLOs was about 97% apart. I’ll also point out that our expectations for CLO equity returns are predicted or predicated on annual default rates of about 2% in the underlying loan portfolio. To date we have not experienced a single default in any of our CLOs. In short, our returns from CLO equity investing will exhibit a fair degree of volatility. However, we expect CLO income to be a meaningful and positive part of Onex Credit’s contribution in the years to come. The last section of the schedule details items allocated to the parent company. Onex's treasure income was $10 million, down significantly from 2013’s $31 million. Smaller income associated with the Onex Credit management funds were responsible for the decrease year over year. At yearend, Onex had $475 million in Onex Credit strategies, the largest being a $346 million investment in an unleveraged portfolio of more than 80 secure loans. The $10 million of treasury income on the schedule includes approximately $6 million of gains on this portfolio. With over $20 million of other cash available, we will not be forced sellers of this portfolio and are happy to clip coupons. The portfolio currently has a 5% yield. The net contribution from private equity, credit and the parent companies, was $42 million in 2014, down $38 million from the prior year’s net contribution of 80. This includes a $60 million year over year decrease in CLO and treasury income, $60 million of which I’ve largely explained we largely view as timing and expect to recoup in future years. Overall, management fees and carried interests more than offset all of Onex's operating expenses in 2014. And remember, we haven’t allocated any of these expenses to the management of Onex's capital invested or committed to Onex Partners or ONCAP. In other words, 100% of the cost of running Onex is on the schedule. The management fees are earned only on about two thirds of our AUM. Nonetheless, Onex shareholders continue to profit from the management of external capital, while having their own capital managed at no cost. I’ll now provide a quick comment on the changes in our cash position, which can be referenced on pages 55 and 70 of our MD&A. Onex ended the year with $2.9 billion of cash, near cash, of which $2.5 billion was in cash. These amounts are net of the almost $250 million I mentioned earlier that Onex invested in the fourth quarter in three new operating companies, York, AIT and Mavis Tire. Separately, Onex expects to invest about $470 million of its year end cash balance when we close on SIG and Survitec later this quarter. Just to note, our year end cash was 97% based in US currency. Our goal is to have the value of our investing and asset management activities reflected in our share price. This is supported by a long standing quarterly dividend which we increased in each of the last two years and a stock buyback program. We repurchased approximately 2.6 million shares in 2014 for a total cost of $150 million at an average cost of $57.67 per share or about $63 Canadian. Since year end we’ve remained active with buybacks, repurchasing a further 460,000 shares. In 2014, Onex’s share price was up 18% relative to 7% for the SMP TFX, whereas in US dollars, the stock increased 8% or slightly more than the 6% increase in Onex's US capital per share. Yesterday, Onex's subordinate voting shares closed at $73.60 Canadian, a 9% increase since the beginning of the year. As Seth noted, this is my last analyst call and it has been a pleasure for me to speak with and meet with many of you to respond to your questions on Onex. I certainly appreciate all the effort you put into reviewing and understanding us. Onex's financial management and reporting activities are in very capable and long tenured hands going forward with Chris Govan and Christine Donaldson. I will be continuing with Onex on our group purchasing activities, but after 28 years will no longer be measuring time by quarters. That completes my comments. We’ll now be pleased to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Geoff Kwan with RBC Capital.
Geoff Kwan: First question I had is just correlating to the statement of fees. When I take a look at the compensation ratio, the carried interest can move around year-to-year obviously. But how should we think about the -- kind of say the total compensation ratio for the private equity and the credit business? Because it seems to me like it's roughly about 60%-ish, give or take, on the private equity side and then on the Onex Credit, somewhere, kind of call it 50% to 55%-ish?
Seth Mersky: Thanks for the question, Geoff. probably the best way to direct you is to point you to the schedule fees and expenses and look back at 2012 which was a good year, actually quite a good year in value accretion in the portfolio, but one which we really had no significant realizations and therefore not a significant de minimis carried. You’ll see there that our variable comp that year was $51 million in the private equity business. So that’s probably not a bad number to think about as a baseline, although it’s probably a little better than usual. And then if you turn to the next two years where we started to have more significant carry distributions, you’ll see that a little bit more than half of that carry dropped to the bottom line. That’s kind of how we’ve seen it historically play out. On credit, it’s going to be a little more challenging to point you to a historical norm because quite frankly the business is growing quite a bit, so it kind of clouds visibility if you will. But I would say that our goal in credit over the long haul is to have a business that’s generating somewhere between 50% and say 55% margins net to the bottom line. Did I manage to answer your question in that rumble?
Geoff Kwan: Yes. No, and I just wanted to confirm. So what you were saying on the private equity side is, given 2012 didn't have a lot of carried interest, that might be somewhat indicative if we are trying to get at what the total compensation ratio might look if we stripped out the impact of carried interest, both the revenues as well as the expense?
Seth Mersky: Yeah, with the caveat being that it was actually a pretty good year on the growth in the value in the underlying PE portfolio.
Geoff Kwan: Right, okay. The other question was just going back to Don's comments on the Parent Company and other, on the interest in treasury income going from $31 million to $10 million. Sorry, was that related to some of the stuff on the CLO side, like a mark-to-market? Just because the prior two years, they were roughly around $30 million. I just want to get some clarification and color on that.
Don Lewtas: On the parent company part, our CLO investments and the returns on that are reflected in the credit component. The parent company, the interest in treasure income was down because of our other credit related investments primarily. But the CLOs are not in that line.
Seth Mersky: And just to be clear, in the credit portfolio just like our discussion around CLOs, the loss was entirely mark-to-market based and that portfolio remains in excellent shape as well.
Geoff Kwan: Right. And that's relating to I guess that $346 million on -- that you're -- that's why it went down to $10 million, was just relating to the $346 million you got as of December?
Seth Mersky: Correct.
Geoff Kwan: On the mark-to-market? So in other words, because you talk about holding on there, that seeing what you guys had in prior years is probably directionally more indicative of what we might expect in a normalized market? Is that a fair comment?
Seth Mersky: That’s largely correct although I think as I recollect there was actually some tailwind from mark-to-market gains in the year before. I’m going to get Michael Gelblat and seeing if he has a better memory than I.
Michael Gelblat: My memory is not so good either, but the only point I was going to make here is that overall performance for the investments in the credit funds were actually positive this year. They were just not as positive as they had been in prior years.
Geoff Kwan: Okay. And just one last question was, you guys had disclosed the taking it from 70% to 100% on OCP. I just wanted to get some color on that. And then, does that change anything with Michael, and employment, and contracts, or anything along those lines?
Seth Mersky: I’ll give you a little color on the rationale aside from economic matters. As you know, we’ve been investing more and more capital in the credit businesses and Michael has been a fantastic partner to do that with and it hasn’t changed his employment status at all. So our relationship with Michael remains as it was. But we felt it was important to move us from a roughly 50% position to a larger control position just given the amount of capital that we were putting into the business.
Operator: Your next question is from the line of Scott Chan with Canaccord Genuity.
Scott Chan: Good morning guys. My first question is for Don. Don, you talked about pro forma cash after Q4 and that the amount is about $470 million spent. Does that specifically just relate to SIG and Survitec? Or does that include the shares that you bought in January and then any other capital commitments that you might have done.
Don Lewtas: Scott, the $470 million is what we intend to invest in Survitec and SIG when they close later on this quarter. So that amount is not out of our $2.5 billion of pure cash that we have at the end of the year. So after those two investments, you can see our pure cash going down to about $2 billion.
Scott Chan: So if you -- because you disclosed SIG that it could be $70 million in terms of Onex’s portion, does that mean Survitec’s investment portion is up to 4400 million? I guess you’re going to co-invest with that as well?
Don Lewtas: That $400 million would include our planned co-invest at this point in time.
Scott Chan: Okay. That is clear.
Seth Mersky: Although I think you got the deals reversed. The larger investment is in SIG.
Don Lewtas:
Scott Chan: That’s right. Sorry, I did. Yes, $70 million for Survitec, 400. And maybe just moving on to just the CLO, maybe for Michael or Seth, it seems like the regulators are obviously clamping down, and it was very good color stuff that you provided at the start of the call. Does that impact CLO demand, your CLO demand for the US and potentially in Europe on a go-forward basis, and potentially impacting your AUM target on the credit side of $10 billion by 2017?
Seth Mersky: So broadly speaking, there are -- and I’ll ask Mike to jump in at any time I falter, but broadly speaking there are three large sources for credit in the leveraged markets. There’s the leveraged loan mutual funds, there’s banks and there’s CLOs. Last year was a year of net outflows for leveraged loan mutual funds. Banks are having great difficulty making leveraged loans and holding them just as we described or have described on various calls. So that’s led to a market opening for CLO formation and that’s why you’re seeing so much CLO formation in the marketplace. Together, CLOs and loan fund, mutual funds comprise well over half of the loan market today. And so the CLO demand information will vary from year to year and it gets offset by loan, mutual fund inflows or outflows respectively. But we expect it to be a pretty good market for years to come, albeit interrupted from time to time just as market conditions will dictate.
Michael Gelblat: The only thing I would add, Seth, is that the regulations that were put into place, ultimately we believe the private equity firms will come to grips with the with the restrictions on leverage, which actually will make the company in which we invest less leveraged, which actually could improve the overall quality of loans.
Scott Chan: Okay. And do you guys still expect to launch your first year of PN CLO in the first half of this year?
Michael Gelblat: Yes.
Scott Chan: Yes? Okay, thanks, guys.
Operator: [Operator Instructions] your next question comes from the line of Paul Holden with CIBC.
Paul Holden: Thank you. Good morning. A few more questions on the CLOs. The first one is as I think about that mark-to-market loss, is it safe to assume that they are now marked down below face value i.e. as though as the principal begins to be repaid there will be a mark-to-market gain?
Michael Gelblat: As long as the structure has continued to perform over time, we should continue to receive healthy amount of distribution. And when combined with the terminal value, will generate what we hope to be low double digit returns. So the short answer is yes, we expect.
Seth Mersky: Yeah. As we noted in the call or the earlier discussion, I think Don had it in his remarks, the portfolio average now, the loans underlying the portfolio now are marked at an average of $0.97. So to answer your question specifically, if someone were to repay that loan, you get 100 cents back.
Paul Holden: Okay. I must have missed that part. And then you said there’s no default in the loan portfolio yet. How do you feel? So you’re feeling quite comfortable about the performance of the loan book over the next year in terms of loan losses and what gives you that type of comfort? My understanding is that credit spreads and leveraged loans would have blown out mostly because of concerns on the energy side. Is there any kind of energy exposure there? Maybe you can talk to the credit profile of the book in general.
Seth Mersky: Sure. So CLO's, just to remind people are very diversified structures with the average holding being less than [indiscernible]. So we’re very comfortable given that specification both by name and by industry that we’re in a good place there. In terms of the other loan strategies that we manage, we have less than 3% exposure to oil-related names. And in some cases, those companies are diversified businesses, so not all their income is going to be coming from oil. So the short answer again is we feel pretty good about our portfolio as it exists today.
Paul Holden: And then just a couple of questions to clarify the transaction to acquire a controlling interest in OCP. Is that correct that you now own 100% of the equity, both the economic and voting or is it still just a majority control with some of it still owned by the management?
Seth Mersky: It’s actually a fairly difficult question to answer in a short period of time. But effectively we have control of the business and receive about 83% of the economics.
Paul Holden: Okay, that answers that. And are you able to disclose a dollar value associated with taking that economic interest up?
Seth Mersky: Not at this time.
Paul Holden: Okay. So I assume we’ll see that number with the Q1 though?
Seth Mersky: That’s a good assumption.
Paul Holden: Okay. And then final question is, with respect to the additional investment made in Jeld-Wen, just curious who the seller was on the other side.
Tate Abols: This is Tate. It was existing the founder and various related trusts associated to the founder of the business. Similar to when we made the initial purchase of the business, we just bought additional common stock.
Paul Holden: Okay. And how much does the founder and trust still own of the equity?
Tate Abols: Less than 10% now.
Paul Holden: Okay, so they’re less than 10%. It sounds like they’ll probably sell the remainder?
Tate Abols: No current plans for that, but you’ve got the founder and there’s ESOP that are the other two major shareholders left.
Paul Holden: Okay. That’s all the questions I had. Thank you.
Operator: That now concludes our question-and-answer session. I will now turn the conference back over to Seth Mersky.
Seth Mersky: Thanks everyone for participating in the call. By the way this morning we got from one participant questions emailed to us and then asked also during the call, but the email was actually very helpful to us and it allowed us to I hope give a more considered answer. So if any of you would like to, although we’re happy to take questions during the call reflecting on what you heard us say during the call, any way you want to do it, but if any of you want to in the future send an email before the call for questions, particularly more complicated ones, it really does help us get the right information for you. And you just send those emails to Emilie or Emma. With that, please feel free to contact Emma at any time and thank you very much for being on the call today.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. You may now disconnect.